Operator: Good morning, ladies and gentlemen. Welcome to the Cargojet Conference Call. I would now like to turn the meeting over to Mr. Martin Herman, General Counsel and Corporate Secretary. Please go ahead, Mr. Herman.
Martin Herman: Good morning, everyone. And thank you for joining us today on this call. With me on the call today are Ajay Virmani, Cargojet’s Executive Chairman; Pauline Dhillon and Jamie Porteous, our Co-Chief Executive Officers; Scott Calver, our Chief Financial Officer, and Sanjeev Maini, our Vice President of Finance. After opening remarks about the quarter, we will open the call for questions. I would like to point out that certain statements made on this call, such as those related to our forecasted revenues, costs and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures like adjusted EBITDA, adjusted earnings per share, and return on invested capital. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP. I will now turn the call over to Jamie.
Jamie Porteous: Thank you, Marty. Good morning, everyone, and thank you for joining us on the call today. As we've done in the prior quarters, Pauline and I will share our prepared remarks before we pass the call over to our CFO, Scott to give you a little bit more color on the financial drivers this quarter. Let me start by contrasting the macro transportation sector with Cargojet's recent performance. The transportation sector across North America continues to be challenged with weak domestic volumes and the industry has been slow to recover from the ongoing freight recession. However, when you look at Cargojet's results, you will notice that we are successfully turning challenges into opportunities. Let me give you a few examples that differentiate Cargojet from the norm. One, with the recent high inflation and an economic slowdown in North America, consumers embraced ultra low-cost products from China based direct-to-consumer merchants using new platforms like Temu and Shein. This dampened the domestic e-commerce volumes, but created a new stream of China to North America air cargo opportunity for Cargojet. We were on the forefront of this shift and secured a long-term scheduled charter opportunity that we announced earlier this year between China and Canada. The frequencies flown per week on this route have continued to rise over the past few months to meet demand. Two, the geopolitical tensions in the Middle East and Ukraine have created supply chain opportunities and an increased need for air cargo services. More recently, the threat of a port worker strike at the East Coast also forced large retailers and manufacturers to think about alternative plans. These disruptions have created new ad hoc charter opportunities on several global routes. With available aircraft capacity, we have been proactive in identifying key commodities that need to fly and adding to our ad hoc charter volumes. As a result, we posted very strong 15% growth in overall revenues and a 17% growth in adjusted EBITDA for the quarter. This was despite one less operating day in Q3 2024 versus Q3 of the prior year. We have consistently been diversifying our business from both the product offering point of view as well as from geographic coverage. This combination has provided us with a solid foundation to create predictable earnings and cash flows for our shareholders. In the quarter, domestic revenues grew by 5.2%, ACMI posted a 12% gain and All-in Charter posted a record 60. 2% growth versus the third quarter of 2023. Overall, we posted a 14.8% increase in revenues for the quarter as compared to the previous year. The improving interest rate environment and controlled inflation are fostering a more stable and optimistic economic outlook for Canada, which we believe bodes well for future domestic volumes. I talked about our decision to accelerate growth investment in two 767-300 aircraft during our last quarter remarks. Based on our current growth rate and opportunities we see emerging in 2025, we are confident in our fleet expansion strategy, particularly in the context of reductions in other Canadian freight operators, aircraft freighter fleets and available air cargo capacity and the emerging long-range charter opportunities. We are also pleased to note that our growth CapEx was well within our stated goals on capital allocation and we are very happy with the progress we are making in our capital allocation strategy. We remain disciplined on optimizing CapEx and generating free cash flow, including a framework on how we will allocate capital through dividends, share buybacks and debt reduction. Although I should point out that we are not immune to the cost headwinds facing the aviation and overall supply chain sectors relating specifically to wages and other cost increases, which may impact future margins. However, this will not deter us from our capital allocation priorities. Scott will provide more color on how we are progressing against these objectives. We are also encouraged to see stronger peak season volume forecast from the majority of our customers and we are well positioned to serve our customers through this most important shopping season of the year. Pauline and I continue to work together on building growth opportunities, attracting the best talent and staying focused on operational and cost efficiency. We have recently and will continue to strengthen the talent in information technology, cyber security, finance and flight operations areas to meet our growing business requirements. We are very excited and confident about the continued growth opportunities that lie ahead for Cargojet, its employees and our shareholders. Let me now pass the microphone over to my colleague, Pauline.
Pauline Dhillon: Thank you, Jamie. The growth opportunities that Jamie mentioned require a capital light execution strategy. In other words, grow our block hours without adding aircraft CapEx and that's been our biggest priority. We have been focused on carefully orchestrating various pieces of our operations to allow us to maximize our fleet utilization, particularly given the complexity of serving Asia routes and the global reach of our ad hoc charter activity. We have a very predictable requirement for our aircraft fleet to support our Canadian overnight network and our ACMI business. Utilizing spare aircraft availability for charter opportunities is key to creating additional shareholder value. We are pleased to see that many of these pieces came together nicely during this quarter. As a result, Q3 block hours grew 15% with the same size of aircraft fleet that we had last year. To execute this strategy, we are still scaling up some cost areas and expect to reach a more normalized run rate in the first half of 2025. We continued our efforts to build strong talent and capabilities in our information technology functions. This is an 18-to-24-month journey, but it is critical to manage scale and complexity of the business and to build the foundation for future growth. We continue to add talent in other key areas of the business as well. Our fleet planning will be more robust and complex this year, given both the domestic as well as Asia networks. We have dedicated teams that work with key customers to ensure we deliver every single package on time for the holiday peak season. Our operations and safety teams are focused on preparing for all weather conditions. Our maintenance teams are focused on making sure that our aircraft as well as our ground handling equipment are fully serviceable at each base. Once again, in Q3, we delivered leading best-in-class on time performance of 98.7%. This is the single most important metric that our customers judge us by. We want to acknowledge and thank every member of the Cargojet team for their commitment to delivering the best customer experience and for their continued dedication. Jamie and I transitioned into our new roles at the start of this year. It has been an exciting, and I might add, exhilarating year of growth and opportunity. We are thrilled with the progress that we have made both on the financial and operating performances of the company, but we do recognize much work still needs to be done. One thing has become very clear to us, there is no shortage of opportunities. We need to build capabilities that can profitably capture those opportunities and continue to provide our customers and our shareholders value. This now concludes my prepared comments, and I will turn the call over to Scott Calver.
Scott Calver: Thank you, Pauline, and good morning, everyone. As a result of a strong quarter for revenue before fuel surcharges and other pass throughs. Free cash flow continued to support the investment and growth opportunities that Jamie referred to in his prepared comments and Cargojet continued to create value for our shareholders. In the quarter, Cargojet continued to strengthen its balance sheet with a reduction in leverage as defined by debt compared to EBITDA. Adjusted earnings per share closed the quarter at $1.48 compared to $0.15 per share in the same period in prior year. Cargojet's strong third quarter has contributed to year-to-date adjusted earnings per share of $3.59 compared to $1.71 for the prior year. A few comments regarding our capital allocation. A total of $157 million has been returned to shareholders to repurchase and cancel common shares since the current share back program started in November 2023, with $38 million taking place in the third quarter of this year. Approximately $22 million of capital was allocated for investment in growth CapEx in the third quarter for the two Boeing 767s that are currently going through the passenger to freighter conversion process. At this time, we anticipate that Cargojet will close off the 2024 fiscal year with $70 million to $80 million in growth CapEx. This range is slightly higher than what has been communicated earlier in the year due to growth revenue coming on at a faster pace than what was originally anticipated. When you consider total CapEx, which includes both maintenance CapEx and proceeds from disposal, management anticipates we will finish the year with net capital expenditures between $80 million and $90 million. To close off the capital allocation update, with all things considered, Cargojet was successful in lowering financial leverage to 2.2 times in the third quarter. We started the year at 2.6 times. This reduction was made possible with both an increase in 12-month trailing EBITDA of approximately $20 million and a $70 million reduction in debt. I will now touch on the third financial statements. A couple of comments about revenue. With a 60% increase in the charter business, the company has experienced a mix change in our revenue. The charter business is made up with two types of charters and the mix between the two have been consistent prior to the third quarter. The first type of charter revenue is our ad hoc charter business. These opportunities typically present themselves only with a few days’ notice. Given the urgency and the non-routine nature, these charters typically have a more attractive revenue per block hour, which is required due to the higher operating costs. The second type of charter revenue is what we refer to as scheduled charters. The recent e-commerce growth where merchants are shipping to consumers directly out of China is a long-term commitment that is high volume with a consistent schedule. This type of charter revenue has a lower revenue per block hour compared to the other end of the spectrum with the ad hoc charters. Given the different cost structure, both types of charter business meet Cargojet's margin requirements. For a deeper dive into our cost structure, at a high level, we manage direct expenses on a cost per block hour basis. For direct expenses, we exclude non-cash depreciation due to the long-term strategic nature of this expense and we exclude fuel expense as we are kept whole on fuel expense with our revenue. With this redefined definition of direct expenses per block hour, Cargojet experienced a slight reduction in the third quarter compared to prior year. Under normal circumstances, operating leverage from the 15% increase in revenue would result in a more significant improvement to margin. To the credit of the entire Cargojet team, the organization can move quickly to support long-term growth opportunities. Cargojet has experienced one time startup costs to onboard this accelerated growth. The best example would be the training and overtime for pilots. It can take as long as six months to attract, train and release a fully trained pilot to the line. Cargojet is currently approximately 50 pilots short of an optimized flight crew resourcing level. Our engaged workforce is equally as passionate to support our customers with a temporary overtime to backfill for these vacant positions. There are two specific variances in direct expenses I would like to address. Depreciation closed the quarter at $31.2 million compared to $42 million for the same period last year. The reduction was driven by two different reasons. The first reason is that certain assets have become fully depreciated in the last 12 months. It is coming up on one year since the last time that Cargojet added a freighter to our fleet. If you go back 12 months ago, we had indicated that we had four Boeing 757s listed for sale. With the growth in revenue, these four aircraft are booked to capacity, which has made it possible to grow revenue without adding aircraft and new depreciation. The second reason for the change in depreciation is a change in estimate for the useful life of our engines. You will notice that Cargojet's maintenance CapEx has been reduced for the last 18 months. Part of the reason was a reduction in spare engine inventory and part of the reason is the fact that our engine's estimated life is longer than what was previously estimated. Selling, general and administrative expenses closed the quarter at $24.3 million compared to $15.2 million last year, an increase of $9 million. Approximately $1 million of this increase is due to a foreign exchange gain in the previous year. Other SG&A costs have increased by $3 million mostly due to an increase in operating costs related to IT for software and for outside professional service providers. The remaining $5 million increase compared to prior year relates to an increase in salaries and incentives. Salaries have increased due to the 2023 inflation. Vacant positions have been filled from this time last year. Given the uncertainty of the freight recession that we were managing through last year, employees did not qualify for incentive last year. We are now back to a normal run rate on salaries and incentives in 2024. As Jamie noted, it should also be taken into consideration the number of operating days in a given quarter. The third quarter in 2024 had one less operating day. The number of operating days impacts the majority of our revenue. With the current run rate of revenue per operating day, one less operating day compared to the prior year can impact EBITDA over $1 million. With the increase in revenue and with our current cost structure, Cargojet closed the third quarter with $47.8 million in free cash flow, compared to $29.8 million in the same period for prior year, for an increase of approximately $20 million. In closing, it was one-year-ago that we announced our long-term strategy as it relates to our capital allocation. Cargojet's long-term capital allocation strategy continues to deliver consistent dividend growth. We're investing in growth opportunities that meet our margin requirements. We've maintained a conservative balance sheet as measured by debt-to-EBITDA and we're opportunistically buying back shares. We are pleased with the progress we have made on each of these pillars. I will now pass it back to Jamie and Pauline and Ajay for any questions.
Pauline Dhillon: Operator, would you like to.
Operator: Yes. Thank you. [Operator Instructions]. The first question is from Matthew Lee from Canaccord. Please go ahead.
Matthew Lee: Hey, good morning, guys. Thanks for taking my questions. On the domestic side, revenue growth this quarter was maybe a bit slower than Q2. Can you just maybe talk about what trends you're seeing that give you some confidence in further acceleration for Q4? And any color you're getting from customers around the holiday season?
Jamie Porteous: Yeah. Good morning, Matthew. It's Jamie. Thanks for joining us this morning. Yeah, it was a little it was kind of in line with what we had predicted back at the beginning of the year in terms of revenue growth. I think a couple of factors that impacted it. One, as Scott mentioned, one less operating day in the quarter certainly had an impact. two, there is some domestic revenue that includes a fuel surcharge component with lower fuel costs, we had lower fuel surcharge revenue included in that base domestic revenue. I think that was one factor, but the indications from domestic customers for peak season going into Q4 and what we've already seen in the month of October remains strong. As I noted before, we have additional charter opportunity -- not charter opportunities, we have additional peak scheduled charters from several customers this season that were stronger than last season. So we should have a good peak season in terms of domestic revenue.
Matthew Lee: That's fair. And then maybe on fleet, 15% block hour growth this quarter on no new assets, that's very impressive and I think the fleet plan only has one net addition next year, but Q4 kind of shakes out the way you're expecting and it seems like signs of the demand is pretty buoyant. Should we be expecting you guys to look at adding to your fleet or is there kind of still more assets you've put on your current aircraft?
Jamie Porteous: No, we have some we have flexibility in the fleet and you're right, 15% is impressive and I think that coincides with what we said at the beginning of the year that we were confident that we could grow our business 15% to 20% with the existing fleet of aircraft and in the 1st few quarters, we've demonstrated that we have that capability plus a little bit more. We do have two aircraft coming into the fleet in 2025, two 767-300s. You're correct that it's net one if we return the leased aircraft or only leased aircraft that's term ends in the end of February, but we still have some flexibility on whether we keep that aircraft to meet our growing needs or not.
Ajay Virmani: One of the things that, it's Ajay, the more we fly, the less maintenance time we have on the existing fleet and CargoJets' key success factor has been on time performance and when you have maintenance that cannot be performed because aircraft are always flying, you will always be behind on your maintenance, which we don't like, and that affects our long-term performance. So although it's good to get a utilization -- max utilization of any aircraft, but we want to make sure that we have enough aircraft in our fleet that can go into maintenance while the other ones are flying. So it's a balancing act, and as Jamie said, we do have an option to bring on an extra aircraft in the new year, -- early new year and anytime we have taken these aircraft for maintenance, they end up being both aircraft. So we're not too worried if we add an aircraft. I'm sure it'll be gone, but I think our biggest concern right now is to make sure that aircraft gets the required maintenance routine and heavy checks at appropriate times to ensure there's a safe working environment and also that our on-time performance stays where it should be.
Matthew Lee: Alright that makes sense. Thanks guys. I will pass along.
Operator: The next question is from Cameron Doerksen from NBF. Please go ahead.
Cameron Doerksen: Yes, thanks. Good morning. Just want to ask a question about the, I guess, the China flights, obviously, very strong growth in the All-in Charter line item. You mentioned that you've seen some increases in frequency, I guess, more recently. Can you just talk about how that contract is evolving? How you see that kind of evolving further in the next couple of quarters?
Jamie Porteous: Yes, good morning, Cameron. As you know, when we started that program back in May, initially the revenue forecast related to that business was about $55 million to $60 million per year based on three frequencies per week. We have seen an increase in those frequencies up to five or six frequencies per week in the fourth quarter, but that will return back -- our expectation is that's peak demand and will return back to the contractual minimum of three flights per week going into 2025.
Cameron Doerksen: Okay. No, that's helpful. And then maybe my second question is just around, I guess, the optimization of some of the controllable costs that you mentioned in the prepared remarks as well. Can you just maybe detail a little bit about what measures that are yet to be done here that will, I guess, optimize your cost structure in the next few quarters?
Ajay Virmani: Maybe I'll take that one. The cost structure, it's a strange situation. While we try to manage the internal costs and get efficiencies, we're not immune to the cost settlements and the wage settlements are going on in the industry. WestJet did a maintenance contract. They did a pilot contract. Air Canada did a pilot contract. Across the border, there are pilot contracts. A lot of our spare parts come from the U.S, where the lead settlements have been 30%, 40% plus. So all these are reflecting, all going to be start reflecting in a lot of the requirements we have. So while we do certainly manage it very efficiently and we don't spend the dollar when we don't need to, but the industry, as you can see, that how many strikes have happened and how many, when you look at Canada Post almost ready to strike and the federal workers and everybody else, the pressures continue on cargo there as well, and we are also part of the whole logistics chain and supply chain, and it attracts us as well.
Cameron Doerksen: Okay. But are there, I guess, specific measures you can point to on the cost side that are elevated right now, but you have some ability to reduce those to offset some of the other escalating costs?
Ajay Virmani: Not very much from the industry standpoint, but gaining efficiencies through extra flying and doing consolidation of some of the routes, rerouting the aircraft. Those are the kind of things that we always look at, how we can get the work of 15 hours of flying at 12 hours. Those are the kind of things we're internally always looking at daily basis.
Jamie Porteous: Okay. And if I could just add to Ajay's comments, Cameron, a couple of things. In terms of overtime with the pilots, that'll level out as we add more crew to our line, but as Ajay said, we're facing some headwinds in the future, not just with the pilot group, but with a number of different employee groups in terms of wage increases. We've had some significant and long overdue permanent headcount additions, particularly to the senior and executive management team that were lacking in certain areas and also factor in the Canadian dollar is trading at the lowest level against the U.S. dollar in over four years and as you're aware, a lot of our costs are in U.S. dollars. So all of those things sort of impact in the longer term.
Cameron Doerksen: Right. Okay. That's very helpful. Thanks very much.
Operator: Thank you. The next question is from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks folks. Good morning. Maybe just turning back to the costs in the quarter. You did mention that there were sort of some one-time costs around the increase in the block hours. Can you maybe try to help us quantify exactly how much that was in the quarter? I know there's some puts and takes, and I know you called out some items, but any additional color would be helpful.
Ajay Virmani: Well, the additional costs mostly come from, as you know, we have 70 pilots. We are looking at the market condition, just take the pilots, for example. We should have about 450 pilots, which is our ideal cost, but the market is such that there's a pilot shortage. The bottom 100 is the one that will take and every time a pilot will take, there's a $50,000 to $70,000 in training cost because these guys take three to four months. By the time they're hired, they come online, they get trained, they get released. It's five, six, seven months and since there's a backlog of training, that even adds further to the cost. So these are kind of the one-time costs where a pilot is not productive because they have the trainings to go through and secondly, these guys are hard to find right now because there is a shortage. So we continue to work and manage because we can't turn down any business. So a lot of business that you see today, we have to carry down over time. And that costs us a lot of money. So this is a kind of example that onetime cost. We always call it onetime cost. But if you every year, you've got 50, 60, 70 pilots' fleet, they become permanent costs until the market stabilizes that there is plenty of pilots in the marketplace. So some of these challenges, Chris, are definitely the industry challenges, just not ours but we try to manage it as much as we can.
Chris Murray: Okay. And then the other question I had is just in terms of with the existing fleet. Jamie, you made a comment about 15% to 20% growth on utility -- on utilization, which kind of almost puts you at the far end but we've also talked a lot in the past about being able to find different ways to optimize a fleet, whether that's daytime flying or weekend flying. As you sort of took the fleet out to I guess maybe what you would be thinking about would have been your max. Are there any other opportunities, either in fleet mix or the way that you operate the network to maybe find some additional capacity without having to add additional aircraft?
Jamie Porteous: Good morning, Chris. It's Jamie. We're pretty happy with the fleet mix that we have. I mean, with the one of the things that's very it's almost transparent to people, but it's from a cost standpoint very efficient is the fleet mix that we have with the 757, the 767, the common flight deck, pilots being able to interchange between new aircraft seamlessly both from an operational standpoint and obviously they are checked out on both aircraft types equally, so we don't have specific crews for specific aircraft that makes us -- or aircraft types that makes us very efficient and we manage that on a literally on a daily basis, particularly with the domestic network. We have more control over the domestic flying and the volumes are more -- we control the volume, but we control the capacity -- and can match the capacity to the volumes more closely than we would look at on the ACMI or the charter as an example.
Chris Murray: Okay. I'll leave it there. Thanks, folks.
Operator: Thank you. The next question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks, operator. Good morning. I just wanted to follow-up, on the cost discussion here. In Q3, you guys had a pretty decent 33.5% margin, which is kind of very consistent with the last two and a half years or so. I'm thinking, like, if you normalize for these, the upfront costs you talked about that normalizes probably in the first half of 2025. What's the margin on a normalized rate looking like? Like, are we close to 30 5% or are we close to 34%?
Ajay Virmani: No, sorry. One comment before I turn it over to Jamie. Those costs that we talked about in the two parts are only going to stabilize if the market stabilized and there's the demand for the pilots come down or there's plenty of them. As I've said, these costs, when you have the turnover kind of we do in any sort of airline where people leave for other opportunities or they don't want to fly cargo or they don't fly at night, they go into other operations. It's very difficult that we can say we always call it one-time cost for now, but if market in 2025, the passenger, the way it has grown, continues to grow, those one-time costs will continue for a period of time till the market stabilizes. So I just wanted to make that clear that by 2025, these are not magically going to disappear. That's an industry issue that we not us, but every airline is facing. So I just wanted to make that clear.
Jamie Porteous: And just to add to Ajay's comments, Konark, I think we would agree and I think most people on this call would the expectation would be with the level of revenue growth that we have even with some one-time costs that at some point that levels out and you'll see an increase in the historical margins that we've been able to generate for this business and I think in a normal world that would that logic would apply and those costs will normalize over the next year, year and a half, but I think the point is that we believe that those are being more than offset by other permanent increases, whether it's facing the wage increases that we talked about with various parts of our organization, various employee groups, certainly adding headcount that were as I mentioned before, were long overdue. Those are permanent costs, the impact of the U.S. dollar, I think all of those things would lead us to an expectation that we're not -- those EBITDA that 33.5% EBITDA margin is not going to increase substantially in the next few years. In fact, it might actually decrease, but having said that, we're still very confident that that's going to meet our capital allocation requirements. We're still going to generate enough free cash flow to meet our short- and long-term CapEx requirements and certainly to continue our priorities of dividend payments to shareholders and share buybacks and continuing to keep our debt level at 2 times to 2.2 times EBITDA.
Ajay Virmani: And Konark, I must add that anything that keeps us up right now is the past pressures to not only us but the whole industry and whole supply chain sector, whole logistics sectors freeze, whether it's Canada Post or whether it was UPS who had a settlement or whether it was [Technical Difficulty] who recently got a settlement. So this is not an issue that is just for cargo debt. This is an industry issue, and we are part of the industry and if that that is our biggest challenge today is the creeping costs.
Konark Gupta: Okay. No. That that makes sense. Thanks, guys. And, in terms of capacity, I think, Jamie, you pointed out earlier on, that, you know, initially, you guys were looking at 15, 20% sort of, you know, increase in block hours without adding the fleet. Now Q3, you have 15% growth in block hours on the same fleet essentially. How much more capacity will that, you know, on the existing fleet? So the next two aircraft that you get in 2025, you know, that will increase the capacity, man, but on the current fleet, can you squeeze out more block outs?
Jamie Porteous: We will in the Q4 for peak season and I think it's consistent with what we said at the beginning of the year that we felt very confident that we could grow revenues by 15% to 20% with the existing fleet that we have. And I think growing it to 15% in the last quarter is a demonstration of our capability to do that. I think as we said, it was 15% to 20%, so we're not at 20% yet. So there is a little bit of growth and that's why we're very -- and we're very -- we have the flexibility going in, as I mentioned earlier, going into 2025 with to additional aircraft coming sometime towards the end of the first quarter, second quarter of the year and providing the flexibility to whether we keep the leased aircraft or not keep leased aircraft and we still have some time, we'll make that decision before the end of the year, but we're very confident that that we'll have enough capacity to continue to grow at that level if demand is there.
Konark Gupta: Okay, that's great. Thanks. And last one for me before I turn over. Maybe I don't know if, Ajay, you'd like to comment on that, but, you know, we Canada Post has been going through, obviously these issues, which are very public, obviously, and their employees are, I think, looking like there are gains for weekend, deliveries and all that. How do you see all these issues shaping up and how does it impact your existing contractual agreements with Canada Post? So any thoughts there?
Ajay Virmani: Yeah. So we do have a long-term contract with Canada Post, and we don't see any of these labor issues impacting our kind of business that we've that they do with us because a lot of it's parcel, not the letter mail and all that stuff they do with us. The key thing is that if you're looking at -- they don't want to do seven days delivery and they don't want to do this, what we will find is that if Canada Post wants to be profitable or even breakeven or be competitive with the others, which they are mandated to do, by the way, in their charter, they have to be self-sufficient and I know they're losing $700 million, $800 million, $900 million a year. They will have to be competitive with UPS, DHL and FedEx for their parcel delivery or even their own subsidiary, Purolator. Being their customers, I can't give them advice or I'm just giving you this as a general leader that in order for them to meet the wage demands that they're being asked of, they will have to increase productivity to become profitable. You cannot give wage increases to any group of people when productivity is being asked to be reduced. So if their mandate is truly that they have to be self-sufficient and they cannot get financing from the government purses, then something has to give. The other option is that if they don't want to do that, maybe they should go to two days delivering a mail or three days or cut back in services. So some of these things need to happen. Otherwise, Canada Post -- it's in all of our interest to see that Canada Post makes some kind of money that is not dependent on public purses.
Konark Gupta: That’s great color. I appreciate the time. Thank you.
Operator: Thank you. The next question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes. Thanks very much, operator. Good morning, everyone. I want to start on the charter run rate now, and I know there's always some fluctuations in charter as sometimes domestic or ACMI borrows some capacity from your charter opportunity during your peak and I'm just curious whether what the run rate now is on the charter. It's lifted a lot this year and is now north of $40 million per quarter. Do we look at that as the run rate, $40 million now each quarter going forward? Does it dip down in the fourth quarter? Is perhaps there's some borrowing from capacity? And maybe just the quarterly run rate on your very successful all in charter revenue piece would be appreciated here.
Scott Calver: Yeah, good morning, Walter. I think the expectation would be exactly as you described it. Even though we have increased frequencies with our scheduled and just to clarify, we group both the scheduled -- what we call scheduled charter, which is mostly the China flying that we're doing and our ad hoc charter revenue together in the same bucket, but you're correct, in the fourth quarter, we see an increase in scheduled frequencies per week that we're doing to and from China, as I mentioned earlier. We have seen very strong ad hoc charter in the month of October, but as we get towards the end of fourth quarter, particularly in December, the availability of aircraft and crew for continued ad hoc charter flying will probably be muted a little bit. So I think that the fourth quarter will be similar to the third quarter, but going into 2025, again, we'll see a reduction. Our expectation right now is it will go back to the normal three frequencies per week on the scheduled flying scheduled charter flying and ad hoc charter demand will be a little lower than we've seen in Q3 and Q4 going into the beginning of the year.
Walter Spracklin: Okay. And in terms of your revenue per block hour, that was trending up and then took a dip. And I know Scott you mentioned there's some mix in there. I guess it comes like first of all is that dip, the new mix we should kind of model a decline in revenue per block hour going forward to reflect that kind of new mix? And my second question is, and I know there's a lot of cost discussions, you're in a pretty good competitive environment. To what extent can you just turn around now and say, look, cost pressure is pretty high, and we're going to have to pass it on to our own customers? How do those conversations go?
Ajay Virmani: So Walter, let me take that quickly. I don't know if you we just talked about hot, fast pressures. This morning, Boeing settled for 38% increases. So this is the kind of industry has been paying, and it's been going. So these pressures are definitely spread to from Boeing to Airlines to Aerospace Industries to Automobile. So you can keep talking about that, but just keep one thing in mind that if we were just competing for charters in Canada, I could agree with you that we would have the pricing power and we could probably get some better yields, but when the charters come in, 90% of our charters, we are competing with companies in the U.S. and if we're not competitive with their pricing, they tend to, how do I put it? because there is so much pressure in capacity like UPS is chartering planes because they got too many. FedEx is chartering planes because they had too many. DHL is always chartering planes when they have the extra capacity. ATSG and Atlas and Kalida, they also charter planes. So we are not just competing on the Canadian landscape when it comes to any charter, whether it's Canada, U. S. Or U. S. To other countries or Canada to other countries. We always have three or four or five competitors on each of those charters. So we do not contain the pricing power. We have to be competitive with those companies.
Scott Calver: Walter, the other thing too with that revenue per block hour is it's been a steady decline in the price of fuel ever since Q3 last year. We saw that big pop a year ago and then it's been a very slow and steady decline ever since then. So a lot of our revenue does have fuel baked into that revenue as well, right. The fuel surcharge is just for domestic. So all that other revenue, you're going to see some noise there, but the change of price of fuel.
Walter Spracklin: Okay. That's great. I really appreciate the time. That's all my questions.
Ajay Virmani: Thank you, Walter. Thank you for your optimism, always.
Operator: Thank you. The next question is from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hey, thanks for taking my question. Maybe if I could just put a finer point on maybe how block hours look in Q4. If I look at 2022 and 2023, I think sequentially, you saw block hours up, that's about 10%. I mean, that was obviously in the face of a freight recession. Is that the type of sequential increase you'd expect this peak season? Or do we go back to something like you saw in prior years where you could see 15%, 20% plus sequential improvement in block hours?
Jamie Porteous: No, I don't think good morning, Kevin. I don't think it's of that magnitude. You're definitely going to see sequentially an increase in block hours. The big part of it will be driven by the additional frequencies that we have flying to and from China that we didn't have in those previous two years in 2023 and 2022, but we're also seeing strong demand in the fourth quarter with additional aircraft that we have flying primarily for DHL on an ACMI basis, as well as I noted before, some additional peak charters we're doing for our domestic customers.
Ajay Virmani: And Kevin, you will also see an increase in block hours because if you remember, we had said that we have four 757s parked that are being utilized. So when we can't find the 767, we fire two,757, which increases the block hours a bit. So that number might not be fully up to speed because when we don't turn down business and if it's profitable, we will put two aircraft instead of one. So that does increase the block hours a bit.
Kevin Chiang: That's helpful color. And maybe just my second question here on the pilot situation. It feels like it's been pretty fluid, like things were tight a while ago and then we've had a few airlines here in Canada go under on the ultra-low-cost carrier side. That seemed to alleviate some of the pilot pressure, but it seems like maybe we've come full circle here where supply demand for pilots has gone tighter. One, is that what you're seeing? And then two, just wondering if some of the more recent headwinds in hiring, are you talking that up to some of the recent, I guess, pilot contracts that have been signed effectively, WestJet, Air Canada total compensation has increased, whatever, 30%, 40% over the term of the contract. Is that making it tougher to -- has that made it significantly tighter in the short period of time in getting pilots just with these new contracts being ratified?
Ajay Virmani: Yeah. So, number of things here play a factor in the pilots issue. A lot of our pilots seem to be going -- flying for South. They're flying in U.S. They pay in U.S. dollars and the single guys don't care where they fly. So there's a lot of being pilots that are moving to the South. The second part of it is while the wage increases have gone 35%, 40% or even more in some of the airlines, the work rooms and the productivity hasn't kept up. So they're giving more money, but they're also hiring more pilots because some of the workrooms have not -- are not product -- increase in productivity. So you get two factors. One is that you got more money getting in other airlines. And the second thing is you also have less productivity. That means you need if you needed 50 pilots to do a job, you might need 60 or 70 to do the job. So that those are some of the things that are today's reality. And the other part of it, you should also keep in mind that when LINKS [Ph] went into CCAA or bankruptcy, they had a few 100 pilots that came on and they were absorbed within like a week. So we don't have an excess pilot, especially when you have a number of Canadian carriers that have beefed up operations. Canada's got more flights today than WestJet has got a lot of flights. Sunwing, Polar Airline is a full-blown airline. Flair has expanded. So if you look at all the pilots that were there like prior to COVID, we will find that the number of pilots have gone up 30%, 40%, 50% from where they used to be. The country is only producing so many pilots. There's no emphasis on producing pilots. As a matter of fact, the same old private -- not private, these flying clubs exist, and they've not had any increase in output to get the pilots trained and out of the line and whatever we are producing, we are losing a fair bit to U.S. We are losing a fair bit to companies like Emirates overseas, Qatar Airways, Singapore Airlines, Cathay, Korean. So there's a lot of Canadian pilots who choose not to fly in this country.
Kevin Chiang: That’s a very helpful color. Thank you, very much and best luck, for this peak season.
Operator: Thank you. The next question is from Scott Carscallen from Mackenzie Investments. Please go ahead.
Scott Carscallen: Good morning and thanks for taking my call. In the event that we get a Trump presidency announcement tomorrow and he embarks on what he says he's going to embark on with tariffs that is 10% to 20% tariffs on everything coming into the U.S. and 60% tariffs on all goods coming in from China. I'm just wondering, how do you see that kind of event impacting your businesses? I'm thinking in particular ACMI and Charter. Thank you.
Jamie Porteous: Thanks, Scott. It's Jamie. I'll give you some comments on that. I mean, we're well aware of that. I mean, the one thing that we're optimistic about and was very encouraging with our agreement with our Chinese customer is they're focused on the only the Canadian market and not the U.S. market at all. So I think any impact of Trump presidency with increased tariffs on imports into the U.S. will have less of an impact on our business that we're doing directly with some of the Chinese e-commerce companies that are focusing more on Canada. Equally on the Charter business, our charter -- our ad hoc charter business is certainly global. Most of the businesses around the world, it's not specific to the U.S., it's not specific it's certainly not specific to Canada at all. We do very little domestic ad hoc charters, most of them are global to Europe to other parts of Asia, very little coming back into the U.S. It's usually between other third and fourth countries or between Canada and a third country. We're not concerned of a major impact to that. On an ACMI basis, certainly with the exposure that we have with DHL and DHL, we operate 17 or 18 aircraft on an ACMI basis for them. We're not currently operating any aircraft for them out of Asia into the U.S. I don't think there'd be any impact there.
Scott Carscallen: Okay, that's helpful. Thank you.
Operator: Thank you. The next question is from Tim James from TD Cowen. Please go ahead.
Tim James: Thanks. Good morning. My first question, just wondering if you saw any signs of pull forward of peak season or Q4 volumes into the third quarter from any of your customers or business lines?
Scott Calver: I'd say. Business lines? I'd say a little bit at the tail end of the third quarter. In September, we had a very strong September year over year in terms of volume on all really on all three segments of the business. We saw increased activity, increased flying on an ACMI basis, particularly for DHL during September, which continues into the fourth quarter. Equally, we started to see a little bit of the ramp up of the Chinese flying, not quite at the level that it's at today in October, November, but a little bit and certainly our ad hoc charter business in September started to pick up and was very strong in October.
Jamie Porteous: Okay. And then I guess the follow-up to that is you were providing some commentary earlier with regards to Q3 charter, Q4 charter looking sort of equally strong for a number of reasons and then the typical seasonal kind of slower revenue run rate in the first quarter and second quarters. What about third quarter next year? Maybe the broader question is, is this Q3 now kind of the new baseline do you think for the third quarter, putting aside any potential natural growth or economic influences? But is this kind of the starting point as you would see it for next year in Q3 or were there some particular headwinds or tailwinds that maybe not are not necessarily normal for future years?
Jamie Porteous: Yes, I think it's maybe a little premature now at this point, Tim, to be able to accurately predict what Q3 next year is going to look like. We did have sort of significant almost record growth in ad hoc charter during the quarter. Does that continue? I mean, a lot of that is driven, as I mentioned in the prepared remarks, by global sort of geopolitical impact of things in the Ukraine, things in the Middle East, different disasters around the world. It's hard to predict whether those will continue and that portion of it continue to drive ad hoc charter opportunities or growth next year. Equally, the growth of e commerce that we're seeing both on the domestic and on our international business, I think will continue, but I think it's a little early for us to be able to predict that accurately for a year from now.
Jamie Porteous: Okay, fair enough.
Operator: [Operator Instructions].
Operator: There are no further questions registered at this time. This will conclude today's conference call. [Operator Closing Remarks].